Operator: Good day, ladies and gentlemen, and welcome to the Fourth Quarter 2011 AECOM Earnings Conference Call. My name is Katie and I’ll be your coordinator for today. At this time all participants are in a listen-only mode. We will be conducting a question-and-answer session towards the end of the conference. (Operator Instructions) I would like to now hand the call over to your host for today Paul Cyril, Senior Vice President of Investor Relations. Please proceed.
Paul Cyril: Thank you. As we begin, let me remind everyone that today’s discussion contains forward-looking statements based on the environment as we see it today and as such does include risks and uncertainties. As you know, our actual results might differ materially from those projected in these forward-looking statements. Please refer to our press release or slide 2 of the earnings presentation and to our reports filed with the Securities and Exchange Commission for more information on the specific risk factors that could cause actual results to differ materially. As we begin our call, let me remind you of some important information about our earnings that are posted on the investor website, investors.aecom.com. We posted our earnings release and updated financial statements on the site for anyone who still needs access. A replay of today’s call will be posted there at around 11:00 a.m. Eastern and will remain there for approximately two weeks. Lastly, since we are using some non-GAAP financial measures as references, the appropriate GAAP financial reconciliations are posted on our website as well. Presenting today will be John M. Dionisio, Chairman and Chief Executive Officer; and Michael S. Burke, President. John, please go ahead.
John Dionisio: Thank you, Paul. Good morning, everyone, and thank you for joining our call. Joining Mike and me on the call today are Steve Kadenacy, our CFO; and Jane Chmielinski, our Chief Operating Officer. As we’ve done in the past Mike will begin with an overview of our fourth quarter financial performance and discuss our outlook for fiscal year 2012. Following Mike’s comments, I’m going to spend a few minutes speaking about our business and the trends we are seeing in our different markets, business lines, and geographies. In the current environment where the headlines are all about government spending issues, I also want to provide you some detail about AECOM’s diversified mix of strong funding sources that support our projects around the world and our future growth. After that I will talk about our plans for fiscal 2012 including a review of our most significant operating initiatives. Then we’ll open the call to your questions. However, before I turn the call over to Mike I’m pleased to say that despite numerous headwinds 2011 was a good year for AECOM. We executed well and enhanced our platform and market position around the world. We entered fiscal 2012 in a stronger position than 2011. Now I would like to turn the call over to Mike. Mike, please go ahead.
Mike Burke: Thank you, John. Please turn to slide four. As John mentioned our FY11 performance was solid and we finished the year in a strong position. Now, let’s review our financial highlights for the fourth quarter. Our fourth quarter gross revenue increased 16% over last year to $2.1 billion and net service revenue increased 20% to $1.4 billion, more importantly fourth quarter organic net service revenue increased by 7% year-over-year. Organic growth was driven by strength in Asia, Australia, Canada and Latin America and in our power, energy, and mining sectors. Conversely we continue to experience weakness in Western Europe. On a constant currently basis organic net service revenue increased by 3% in the fourth quarter. We are pleased with the positive trend we are seeing in organic growth and believe it is a direct outcome of our strategic focus on high growth emerging markets and natural resource rich regions, strong growth in our MSS business and solid execution. Operating income increased 35% year-over-year to $134 million while net income increased 29% to $87 million. This resulted in a diluted earnings per share of $0.75, which was up 29% year-over-year. Cash flow from operations improved by a 128% year-over-year to $262 million in the quarter. Please turn to slide 5. Our PTS segment accounted for 89% of our fourth quarter revenue. Net service revenue increased 18% from last year to $1.2 billion. Organic net service revenue in this segment increased by 6% year-over-year. Operating income in the PTS segment increased 22% over last year to a $147 million and operating margins improved by 39 basis points year-over-year. This margin improvement is a reflection of our efforts to enhance our mix of higher margin services such as PM/CM, cross-selling efforts and strong project delivery. The margin improvement was achieved despite the European restructuring expenses incurred in Q4. Our management support services segment accounted for 11% of our fourth quarter revenue. As we mentioned in the last quarter, this segment is undergoing a change in project mix. It is moving from contracts with significant pass-through costs to projects with more self-performed work and a higher component of net service revenue. As a result, gross revenue for the quarter was down 20% year-over-year while net service revenue increased 40%. Organic net service revenue in the MSS segment grew 16% year-over-year. MSS segment operating income increased 56% over last year to $18 million and operating margins on gross revenue improved by 383 basis points year-over-year. This quarter’s strong margin performance underscores the success of our strategy of moving into high value added government services through our security and intelligence acquisitions over the past two years. Please turn to the next slide. In the fourth quarter our EBITDA margin increased 47 basis points year-over-year to 11.6%, continuing our long-term trend of margin improvement. Our focus on operational efficiencies and improving project margins improved our overall profitability. Our FY11 and full-year EBITDA margin was 10.1%. Over the past three years we have increased our EBITDA margin by approximately 150 basis points. As we have previously stated over the next four years we aim to further improve our EBITDA margin to at least 12% of net service revenue. The key drivers of our margin expansion will be an increasing mix shift to higher margin services resulting from our strategic investments. We’ll also benefit from operational efficiencies as our acquired businesses integrate into the AECOM platform. Please turn to the next slide. At the end of the fourth quarter our balance sheet was strong with $457 million in cash and cash equivalents and $1.2 billion of debt. During the fourth quarter we increased our revolving credit facility from $600 million to $1 billion and extended the maturity until 2016. More recently we renewed and expanded our term loan from $600 million to $750 million giving us additional liquidity and increased flexibility to execute our growth strategy and further demonstrating the market’s confidence in our financial strength and business model. At September 30, we had $917 million in unused capacity under our new credit facility. Our current leverage ratio is 1.3 times net debt-to-EBITDA, below our target leverage ratio of 1.5 to 2 times EBITDA. In August, we announced the $200 million stock buyback program, we have already executed and accelerated buyback for the first $100 million. Our share repurchase program is consistent with our capital allocation strategy of focusing our resources on the highest return opportunities and reflects the confidence we have in our long-term outlook. Looking ahead, we will continue to evaluate strategic acquisitions, investments in organic growth, and share buybacks as part of our balanced growth strategy. Now turning to cash flow, I’m pleased to report that our cash from operations during the quarter improved to $262 million up a $147 million from last year. Improving our cash flow has been one of our top priorities and these improvements reflect the successful execution of our working capital initiatives. As you may recall, several quarters back we laid out a plan to improve our DSO’s and we have made solid progress. In the fourth quarter, our net DSO has improved by five days from the third quarter. Our PTS DSOs improved three days sequentially, and are now at the lowest level in eight quarters. MSS DSOs improved 14 days sequentially as we collected $55 million on the large US government contract that we mentioned last quarter. Our free cash flow for the year, excluding items related to our deferred compensation plan termination, was $202 million which represents a $112 million increase from fiscal year 2010.These are very solid results despite the remaining ARs still outstanding from one US government closeout contract, which we expect to collect this year. Our goal is to generate free cash-flow that consistently exceeds net income and we expect to achieve this in fiscal 2012. Please turn to the next slide. New business wins in the fourth quarter totaled $2 billion. We closed the quarter with backlog of $15.6 billion, a 6% increase over the fourth quarter of last year. Organic backlog increased by 3% year-over-year. Our backlog was impacted by $115 million in unfavorable foreign exchange moves in the quarter which have since been largely reversed. Our backlog does not include IDIQs or backlog from unconsolidated joint ventures including these our potential book of business is in excess of $30 billion. Our solid book of business underpins our increased confidence in our long-term outlook. Please turn to the next slide. Now I would like to provide our initial outlook for fiscal 2012. Based on the results of fiscal 2011 our outlook for continued growth in our current book of business we expect diluted earnings per share in a range of $2.45 to $2.65 for fiscal 2012. The midpoint of this guidance range implies a 9% year-over-year growth and the high-end implies a 14% year-over-year growth in earnings per share on a GAAP basis. Our guidance assumes the following: $24 million in amortization expenses related to acquired intangible assets, $75 million in depreciation expense, interest expense of $43 million, a diluted share count of 116 million shares which only reflects the first $100 million stock buyback. A tax rate of 29%, including minority interest in pre-tax income and finally stable foreign exchange rates. A few additional thoughts on our guidance, and I’ll begin with seasonality. Consistent with prior years, our business is seasonal and we typically realized 20% of our full-year earnings in the first quarter of our fiscal year. This year we also have to consider that the first quarter last year included Libya, which makes for a more challenging comparison. While this year, we face a higher tax rate and the implementation of our European restructuring plan during the quarter. As the year progresses, we do anticipate our European business to benefit from these restructuring initiatives. While there are a number of tailwinds going into 2012, we also have a few headwinds such as a 240 basis point higher tax rate. We feel very confident about where we are today compared to last year. Before turning the call over to John, I would like to say that we are pleased with our results for the fourth quarter and the progress we made in FY11. We are entering FY 2012 in a stronger position with improved organic growth, cash flow, margins and financial flexibility. With that I would now like to turn the call back to John. John, please go ahead.
John Dionisio: Well, thank you, Mike. Please turn to slide 10. I direct your attention to the center chart, as you know AECOM’s source of revenue is derived from both public and private clients in over 100 countries around the world. As we repeatedly stated, this diversification has enabled us to continue to grow. For instance, in spite of economic conditions in the United States over the past couple of years, we have continued to strengthen our position in the US market, which is the world’s largest infrastructure market. At the same time, our international markets have expanded rapidly taking advantage of strong growth opportunities and making investments in both acquisitive and organic growth. I’ll begin with the United States which is our largest market. For the past four years since our first earnings call we have discussed with you how we have continuously executed well in this market. In fiscal year 2011, we won over $4 billion in new awards in the United States which is up 54% year-over-year. In the United States we have three distinct types of clients and sources of funding namely private clients, US government and state and local agencies. Now, let me draw your attention to the US private sector which is represented in the top left corner. Today the US private sector accounts for 21% of our business. We have grown our private practice over the past several years by leveraging our global technical expertise and international platform to service clients as well as multinational clients both in the US and around the globe. Such clients include hospitality, oil and gas, industrial technology, and commercial real estate. Of this market approximately 40% is in commercial buildings predominantly large metropolitan areas such as New York, Boston, Chicago and Washington DC, which are among those strongest commercial real estate markets in the country. Because of AECOM’s significant presence throughout the United States and our position in these key markets, we are posed to capitalize on the rebounding commercial construction market. In addition, we are also – we also see renewed activity in other key private markets such as healthcare, energy and industrial projects. Turning to our US federal government market, which is depicted in the lower right-hand corner, this market accounts for a 20% of our revenue, and is well diversified across multiple agencies and departments working both in and outside of the United States. We provide a full spectrum of services ranging from planning, design and facilities management. Over the past two years we have strategically shifted our US federal work to higher growth and higher margin services such as cyber security and intelligence, which also reflects a shift in the DOD spending. These areas are considered mission critical and are less vulnerable to funding pressures. As I mentioned, we also support for the US government abroad in its overseas contingency operations in missions in Iraq, Afghanistan, and Kuwait. As we withdraw our troops from Iraq and Afghanistan over the next few years it is anticipated services will be needed and shifted to provide support for US military assets located both in the United States and abroad. Please turn you attention to the US state and local markets, which is reflected in the bottom center exhibit. This market comprises 17% of our revenues and includes state and local governments as well as public agencies and authorities. Although we have presence through the united states most of our revenues generated in five key states, which account for over 40% of the total state and local infrastructure spending in United States. The important takeaway is that the majority of our revenue in these states is derived from dedicated funding sources and user fees. For example, in the past three months the Port Authority of New York and New Jersey approved a 56% increase in tolls over five years to fund $15 billion in capital improvements. In Los Angeles a $40 billion transit program is being funded by a half percent increase in sales tax and in Dallas, a light rail project expansion is supported by a 1% sales tax increase. Probably the most significant change in funding which has occurred over the past four years is the acceptance by state and local governments to use public private partnerships as a procurement vehicle to resolve infrastructure funding issues. We are seeing continued momentum in P3 funding projects. AECOM is currently pursuing 8 P3 opportunities with a total contract value graded at $15 billion, six of which will be decided this fiscal year. This is compared to last year, when we were pursuing only two. P3 funding is also developing for social infrastructure projects such as schools, hospitals, and correctional facilities. The P3 market represents an exciting opportunity for AECOM to blend its expertise across our planning environment, transportation, and construction services. Now, moving on to our non-U.S. business which represents 50% of our net service revenue. As part of our diversified balanced growth strategy, we have focused on expanding our public and private non-U.S. markets in high growth emerging and natural resource rich markets. These markets delivered double-digit growth in FY11. In the most recent quarter, Asia-Pacific remained an employment growth driver with organic growth in excess of 20% once again. The non-US public sector which is depicted in the top right corner comprises the largest portion of our non-US business and represents one-quarter of our revenue. Our largest markets are Asia- Pacific and Canada, but we are seeing growth opportunities in the emerging markets of Africa, India, Eastern Europe, and Latin America. In the non-U.S. regions, infrastructure investments are being funded by strong oil and gas and mining economies. AECOM now has a footprint in each of the BRIC countries from which we look to expand our local delivery capabilities. Let’s look at individual regions. First, India is a key priority in our expansion strategy. With a population of more than 1 billion people and a GDP growth of 8%, India plans to make considerable infrastructure and social infrastructure investments over the next five years. We continue to make investment and inroads in this important growth market. In June, we finalize the acquisition of Spectral Services, a green building design firm which strengthens our position in India. Now moving to the Middle East. While Abu Dhabi and the broader UAE remain a significant strategic market for us, we see a shift in growth opportunity to Saudi Arabia and Qatar. For example last month, the Qatar government forecasted spending $150 billion on infrastructure projects over the next five years as it prepares for the 2022 World Cup. AECOM is uniquely qualified to capitalize on this trend and just last month we launched a worldwide sports group to facilitate the collaboration of our global sports expertise to capture these new opportunities. Currently we’re managing the construction of the (inaudible) light rail system and are program managers for the new Doha port, the largest greenfield port project in the world. In China, we’re seeing a migration of economic development inland to Western cities. In addition, to major infrastructure projects, China is also investing in social infrastructure, commercial and mixed use developments. Our strength in the Chinese market is facilitated by an agile business model, which is adapting to these changing trends. All in all, the demand is strong and the project financing is available. Turning to Australia, we see a shift from highway and bridge to transit and social infrastructure projects and we continue to win opportunities across the public line spectrum. We see substantial growth on the horizon by focusing on these priority sectors and utilizing our integrated platform to serve our clients. Latin America is another focal point of our expansion strategy. Our recent Rio de Janeiro Olympics master plan win and transportation wins in Brazil bode well for our growth strategy. In addition we are pursuing several M&A opportunities in the region. Turning to our non-US private sector, which accounts for 17% of our business and is represented in the lower left-hand corner, we see an increase in activity in each of our key geographies and across our market sectors including commercial buildings industrial and energy and mining projects. In markets such as Australia, Canada and Africa growing demand for commodities is fueling significant new opportunities for AECOM. For instance we are currently working on several large mining projects in Australia, Africa and Canada. Our integrated global platform positions us well as we support our multinational clients utilizing technical expertise from around the world. In addition AECOM is working for several multinational clients on social infrastructure projects in sports, education, culture and community – commercial facilities in Eastern Europe, Russia, Asia, and the Middle East. Hopefully, this tour of AECOM around the globe provides you a good sense and a comfort level for the diversity and security of the funding sources behind our projects and gives you a comfort level that AECOM is in markets where funding for infrastructure projects remain strong. Please turn to the next slide. Now looking at fiscal year 2012, we expect 2012 will present many new opportunities for AECOM. Although there will be ongoing headwinds and new challenges as the global economy continues to recover, we look to the future focused on a specific shortlist of strategic priorities. First as we did in 2011, we continue to implement our strategy of expansion into high growth markets and services. We will explore and advance new opportunities for growth in Latin America, India, Southeast Asia and the Middle East. We will complete the restructuring of our Europe business to maximize of our profits in that region with special attention on high growth markets in Eastern Europe and Russia. We will continue to focus on improving our cash flow and profitability. Finally, we will advance key acquisitions which will support our long-term growth strategy. We are excited about the future. We have the right business model, client mix and diversification of funding sources to deliver sustainable profitable growth in shareholder value in 2012 and beyond. AECOM remains committed to a long-term annual earnings growth target of 15%. With that, I would like to open the call up to your questions
Operator: Thank you. (Operator Instructions). The first question comes from the line of Steven Fisher from AECOM. Please proceed.
Steven Fisher – UBS: Thanks, it’s UBS. On the guidance, can you just discuss a little bit on what you’re assuming for organic growth trend versus other things that may not show up in revenue growth like equity income?
Mike Burke: Yeah, first of all welcome Steve glad to have you on the call. We are assuming modest single-digit organic growth rates consistent with what we’ve seen. We are assuming slight improvements in our operating margins, our EBITDA margins, as well as our gross margins and that we’ve built that up and then of course taking it into account some of the things that I mentioned earlier that are headwinds for us in particular our higher tax rate, which has about $0.07 headwind impact in FY ‘12.
Steven Fisher – UBS: Okay, and I don’t think you’ve typically given a range as wide as $0.20 if I am remembering correctly.
Mike Burke: Correct.
Steven Fisher – UBS: I guess I’m just wondering if you can comment on what are some of the factors in a wider range this time around, obviously it’s a pretty uncertain world, but just curious for your thoughts.
Mike Burke: Yeah, sure when we started off with guidance back in 2007, we were about $1 of EPS and we had a $0.10 range. Now of course we’re at $2.33 of EPS. And so proportionately that range has expanded. And secondly it’s commensurate with what we see among our peer group for the type of the range they are giving relative to – as a percentage of their EPS.
Steven Fisher – UBS: Okay. So, there is not anything particularly like highway legislation if it comes through that gets much bigger upside or if it doesn’t one way or the other?
Mike Burke: No, I wouldn’t read too much into that. It’s just our EPS is two and half times the size that it is, that it was when we started giving guidance and proportionately we expanded that range.
Steven Fisher – UBS: Okay. And then just one last one on the buyback, just wondering what happened in the fourth quarter. It sounds like you did the $100 million, but how many shares did that buyback for you? Was it 2 million?
Mike Burke: No, of course we authorized $200 million. We immediately affected a $100 million of that and we did it under an arrangement with a collar around a price. We immediately took possession back of 4.3 million shares and depending on where the (inaudible) falls during the testing period, we would end up taking possibly another 700,000 or so shares back when we closeout the transaction with BOA. But right now we took delivery on 4.3 million shares and we took it right at the end of the quarter. So, you don’t see any material impact on our weighted average outstanding shares during the quarter.
Steven Fisher – UBS: Because it was about 118 to 119 million going into the quarter?
Mike Burke: That’s right, but it’s of course as you know under GAAP, you’re doing a weighted average outstanding share count during the quarter. So, taking the shares back in at the end of the quarter aren’t going to, is not going to have material impact.
Steven Fisher – UBS: Okay and then, so how should we think about the second $100 million?
Mike Burke: We will continue to monitor the market, we are still very bullish on our stock at these prices and we will continue to look at buying back additional shares as we consider all of our other opportunities for cash whether it’s investing in organic growth opportunities, M&A, or stock buyback, but we still think that the stock is very attractive at the current price.
Steven Fisher – UBS: So, that would take down your assumption of 116 million to something lower?
Mike Burke: That’s right. Just to be clear as I stated earlier in the call here, the share count that we’ve given as an assumption in our guidance range only takes into account the $100 million, stock buyback that we already executed. It does not take into account any additional buybacks which we hope to make.
Steven Fisher – UBS: Okay. Great. I’ll turn it over. Thanks.
Mike Burke: Thank you.
Operator: Your next question comes from the line of Tahira Afzal from KeyBanc. Please proceed.
Tahira Afzal – KeyBanc: Good morning gentleman and congratulations nice quarter.
Mike Burke: Thank you.
Tahira Afzal – KeyBanc: Couple of questions I had was in regards to your commentary on some of the business you have in the US and you mentioned eight projects in particular very large size of $15 billion, could you talk about what your potential scope on those could be and then you mentioned that there were two as around this time last year going into 2011 could you comment on the outcome of those did they go did they fall the way of some of your competitors or have they just been pushed out?
John Dionisio: Let me, the projects you’re referring to are the P3 projects that I mentioned in my talk and this type of – the scope of work we’ll be providing engineering services for the design of the facilities in the United States. Last year there were two projects one in Puerto Rico, one in Canada and we won the one in Puerto Rico, we were not successful in Canada. Really the is a take away there is that there is a shift in terms of infrastructure funding from the state and local side into the private side through public private partnerships which when you put it all together it paints a very positive picture in that there will be continued movement in infrastructure spending and highway and transit construction.
Tahira Afzal – KeyBanc: Got it. That is very helpful. Thank you very much.
John Dionisio: Okay, thank you.
Operator: Your next question comes from the line of Avram Fisher from BMO Capital Market. Please proceed.
Avram Fisher – BMO Capital Markets: Good morning, thanks for taking my questions.
John Dionisio: Okay. Thank you for calling in.
Avram Fisher – BMO Capital Markets: What do you expect minority interest to be next year?
Mike Burke: We don’t try to project our minority expense frankly as we’ve explained in the past we – we’re focused on the economic EBITDA that is delivered from our projects and sometimes we’re 49% owner where it’s all coming in minority and sometimes we’re 51% owner of the JV where it’s all coming in on the revenue line and then we’re backing out minority interest. So, we don’t try to predict that. What we try to predict is how much EBITDA we will deliver to the bottom line from the projects we’re pursuing and we’re always in negotiations with our joint venture partners. We prefer to have 51% than 49% but it doesn’t always work out that way. So, unfortunately we can’t give you too much guidance on that.
Avram Fisher – BMO Capital Markets: Okay. I was just your guidance implies EBITDA growth below the 15% range by my estimate, and I’m wondering if – you expect to acquire more into that for the year or is this just going to be a year where you’re a little bit below the trend line and above the trend line in future years?
Mike Burke: Well, our guidance to the midpoint of our guidance range is 9% EPS growth and the top end is 14% and so that’s a little below the trend line given that we just completed a year with 14% and we have modest M&A built into our numbers for the year, but remembering that in the first year of an M&A deal due to the FAS 141 intangible amortization, it generally does not have an accretive or dilutive effect on EPS during the year if we expanded the size of our M&A.
Avram Fisher – BMO Capital Markets: And, I mean can you talk a little bit about why this is a modest M&A year, is it a function of capital preservation, is it a function of not a lot of deals out there, integration?
Mike Burke: No. It’s – I guess modest relative to the $1.2 billion that we did back in ‘10 and ‘11 – in calendar ‘10 its modest, but we will – we continue to pursue many M&A opportunities and if we continue to find the right deals at the right prices and the right high growth emerging markets and natural resource end markets, we would be more than happy to expand that. We have plenty of capital as you have heard we have almost a billion dollars of credit capacity at the end of our fiscal year, at very attractive rates. So, we are an active and enthusiastic buyer for the right deals.
Avram Fisher – BMO Capital Markets: And finally any stab at what the cash EPS could be for 2012?
Mike Burke: Well, are you talking about it – relative to what – to the M&A discussion or just relative to? Well, our cash flow – our free cash flow we would expect to approximate our net income.
Avram Fisher – BMO Capital Markets: And the timing of that? I mean you usually backend load is that likely to be the case?
Mike Burke: Yeah, absolutely. We would expect – for the full FY12, we would expect our cash – free cash flow to equal net income. So, it will be about equal to EPS and you saw this year a much more heavy back loading than in previous year, we don’t expect that much of backend loading in FY12, but we still will have the seasonality that we’ve always had forever.
Avram Fisher – BMO Capital Markets: Okay. Thanks for taking my question.
Mike Burke: Sure. Thank you.
Operator: Your next question comes from the line of Andy Kaplowitz from Barclays Capital. Please proceed.
Alan Fleming – Barclays Capital: Hi, guys. Good morning. It’s Alan Fleming standing in for Andy today. Thanks for taking my questions.
Mike Burke: Good morning.
Alan Fleming – Barclays Capital: I wanted to follow-up on a couple of the previous guidance questions. Contracted backlog has been up sequentially, a pretty good rate for the last couple of quarters, up 31% this quarter and the margin guidance, or I’m sorry the EPS guidance is implying high single digits to mid-teens growth. So, I guess my question is, is that be, is that conservatism? Is there something else we should focus on? Are you seeing any delays from the government similar to what you talked about last quarter, and therefore backlog is not converting to revenue as quickly as you might expect?
John Dionisio: I think it’s a bunch of everything. One we have a global economy that is recovering. I mean we have areas where it has recovered and it’s going strong as we indicated in Asia, in Australia. Middle East is strong. We’re looking at the recovery in Europe which we discussed last time and the restructuring and in the United States. So, we see the market is recovering. And as we proceed, we’re going to – and the way our revenues are being projected for ‘12, we’re going to accelerate our revenue stream from the first quarter through the fourth quarter. There is, I mean without a doubt in the United States, there is a sluggishness in converting wins into backlog. But it’s just a timing issue and we have, we’re confident that the way we have our plans set out, these projects will be converted. The other issue was that we had a very, very strong third quarter in terms of our backlog and when you normalize that, the fourth quarter even though it shows a slight decrease, it’s still very strong, it was a very strong quarter in terms of backlog. The additional thing is in the fourth quarter, we had organic growth and when you have organic growth you’re going to be burning some backlog and so backlog is something that you have to look at it not from just quarter-to-quarter, but you really need to look at year-over-year and the trend is positive. So, with all these things happening around the world and that’s why I probably spent too much time speaking about the funding sources and when you look at the transcript and you look at the slides, I think and you just start digging into what I said, you’ll see that there, when you look around the globe at AECOM’s business, there is a wide variety of things that are current and what we try to get across there is not one thing that could be a fatal blow to AECOM and that there is, we feel that by our diversification including the revenue stream, the funding, the backlog, the wins. We are in a good position to continue to grow in ‘12 and into’13. Hope that answered your question, it’s a very good question, but it’s not one that I can give you any yes, no, or easy answer.
Alan Fleming – Barclays Capital: No, no, that’s very helpful. I appreciate that. Just a question, a follow up on the sluggishness in the US that you talked about, how does that compare to kind of what you’ve seen last quarter, earlier in the year, is it better, is it worse, or is it about the same?
John Dionisio: Let me see, is the sluggishness better, I don’t know what that means, but let me say we see that projects are moving into backlog faster than they were at the beginning of say ‘11. There is an improvement. We see there is improvement on the private side, the commercial facility side, in the infrastructure side, so we see things are improving. I mean it, but it’s a snail pace. But they’re all positive signs.
Alan Fleming – Barclays Capital: Okay, thanks. And then just one quick one on margins, I know you guys like to focus on EBITDA margins, but net service margins in PTS were quite good this quarter and maybe the highest we’ve seen in a very long time. So you mentioned that in your prepared remarks that some of that was due to better mix. Is there anything else there? And is this kind of margin sustainable going forward?
Mike Burke: Well, we have – as you know this is always our strongest margin quarter, right, so, but the trend line is positive and the trend line is something that we expect to continue. As we said last quarter and you heard me say again earlier today, we do expect our margins to grow to an annualized 12% EBITDA margins over the coming years. So these margins are good and especially taking into account that the restructuring charges we took in Q4, our margins would be even better had we not had some of those restructuring charges. So I think they are sustainable and will improve.
Alan Fleming – Barclays Capital: Okay. Thank guys. Nice quarter.
Mike Burke: Thank you.
Operator: Your next question comes from the line of John Rogers from DA Davidson. Please proceed.
John Rogers – D. A. Davidson: Hi good morning.
Mike Burke: Good morning John.
John Rogers – D. A. Davidson: Just following up on the restructuring charges in the quarter, it was the full nickel that you expected?
Mike Burke: No. It was – we had estimated it to be a $0.05, it actually cost us $0.07.
John Rogers – D. A. Davidson: Okay, okay. And Mike, how much will it cost you in the first quarter?
Mike Burke: Yeah, so, although, as you know when you undertake your restructuring charges, you put up a reserve for the staff rent as well as the lease structuring, but the labor laws in the UK require us to keep those people on during an extended notice period. So, it will cost us a few million dollars in Q1.
John Rogers – D. A. Davidson: Okay. But that – and then that’s it unless something else changes?
Mike Burke: Yeah. No. That’s it. We have fully accrued for all severance costs. We’ve accrued for a lease restructuring. So the only thing we’d add is an additional quarter of some labor cost, which are $2 million to $3 million.
John Rogers – D. A. Davidson: Okay. And then just in terms of margins, I mean you commented about improved margins in ‘12 and I know that acquisitions dilute margins and you’re bringing down overhead costs, but could you give us a little more color on the margin trends, pricing versus changing more international work versus cutting your overhead. What’s driving the improvement sort of the trends there, especially pricing in the market?
Mike Burke: It’s all of those. But generally speaking, if you’re talking about, the way we think about pricing internally is we look at the gross margins.
John Rogers – D. A. Davidson: Okay.
Mike Burke: Which is pricing, our EBITDA margins, our everything across the board. Our project margins were improving in Q4. That’s – and that would be a correlation to our pricing. But as you know, John, pricing especially in the public sector, pricing doesn’t really change much in good times or bad times it stays relatively constant and so there are slight improvements in the project margins but where we’re seeing the real EBITDA margin improvements is occurring by the shift in our product mix. As we shift more towards CM and PM services our EBITDA margins are higher. As we shift in our government sector more towards the intelligence community work and the cyber warfare type work our margins are much stronger. And then of course we continue to squeeze costs out of our system as we have for many years, we continue to squeeze costs out of the system and drive more revenue through the overall AECOM platform that is improving those margins. So it’s a little bit of all of the things you mentioned John.
John Dionisio: Yeah, but John let me just add to what Mike said, what we’re not seeing, and which we had seen maybe at the beginning of the ‘11, was some price compression by our clients saying – we want to reduce your profit margins – we are not seeing that. So it’s just a reverse, our margins are improving and where at the beginning, a year ago that was everyone’s concern that we were going to be squeezed, but that has not materialized and we don’t see that occurring going forward.
John Rogers – D. A. Davidson: Okay and John, if as we all hope that we get more of a rebound in the commercial and private sector. Those markets for AECOM they carry higher margins in the public sector or lower?
John Dionisio: Higher margins.
John Rogers – D. A. Davidson: Okay. And international versus domestic?
John Dionisio: They are higher, as Mike said, except for Europe.
John Rogers – D. A. Davidson: Yeah.
John Dionisio: But they are higher in Asia and Middle East.
John Rogers – D. A. Davidson: Okay. Great. Thanks for the color.
John Dionisio: Great. Thank you.
Operator: Your next question comes from the line of Chase Jacobson from William Blair. Please proceed.
Chase Jacobson – William Blair: Hi, good morning.
Mike Burke: Good morning.
Chase Jacobson – William Blair: I just wanted to ask about this organic growth assumption in 2012 you’ve mentioned modest organic growth, your end market commentary was pretty positive, I think across the board. You’ve anniversaried your large round of acquisitions, but we are not really seeing the improvement in organic growth that I would expect you could get from all those cross selling opportunities. Kind of – it’s kind of just similar to where it’s been and maybe even a little bit lower than ‘09, ‘10 and ‘11. So, just wondering what the disconnect is there when we start to see the benefit of the acquisitions really helping organic growth in the future?
Mike Burke: Yeah well Chase, in the fourth quarter of year, we have 7% organic growth, which given that we’re in a zero growth economy, I think that’s pretty strong. So, we have seen improved organic growth. We are not in – FY10 was almost flat organic growth. So, I think we weathered the storm quite well and we’re coming back to the organic growth that we all hoped for. But we are not going to get back to – immediately back to the 17% organic growth here as like we saw back in 2007, we’re not going to get there quickly, anyway. Hopefully, we’ll get back there at some point, but 7% organic growth in the quarter, we feel pretty good about.
Chase Jacobson – William Blair: Okay, but – I mean in terms of next year when you say modest single digits, is that three to five or is that five to seven?
Mike Burke: Chase as you know, we do not provide guidance on specific revenue numbers, but so you see what our EPS guidance range is, at the midpoint it’s 9% EPS growth and you could extrapolate on either side of that that you’d like.
Chase Jacobson – William Blair: Okay. Thanks.
Mike Burke: Thank you.
Operator: Your next question comes from the line of Andrew Wittmann from Robert W. Baird. Please proceed.
Andrew Wittmann – Robert W. Baird: Hey guys. Congratulations on making some good cash flow progress in the quarter. I just, Mike with some of your commentary on an unexpected big payout in the fourth calendar quarter, can you just remind us on the size of the potential payout that you are looking at and what that can do for your DSO’s in the fiscal first quarter?
Stephen Kadenacy: This is Steve. Thanks for joining the call. When you say the payout on the large government contract, is that what you are referring to?
Andrew Wittmann – Robert W. Baird: That’s right.
Stephen Kadenacy: Yeah, we view that as coming in during the year. We did make some progress on that during the year collecting about $55 million, but again regardless in spite of the headwind of not collecting all of that, Q4 was the largest cash quarter we’ve had since the IPO. So, we are pretty happy about that. Looking forward, we view with the collection of that and the general improvement that we’re making in our working capital focus on DSO’s, that we have already shown and we plan to show in the future that will approximate free net income in terms of free cash flow going forward in FY12 and beyond.
Andrew Wittmann – Robert W. Baird: So, it sounds like there is still I’d say modest DSO improvement potential and then it’ll probably stabilize once you when you get back to cash flow approximation and is that the way to look at it?
Stephen Kadenacy: You’ll see improvement during the year.
Andrew Wittmann – Robert W. Baird: Okay and then I appreciated the walk around the funding sources, I mean it sounds like some very good growth areas internationally particularly in Asia we talked about 20 plus percent growth rates in some areas. I guess, just to get a flavor of how it is in the developed markets can you give us a little bit more color about what the public and private sectors are doing and maybe in the US and Europe specifically on an organic basis?
John Dionisio: Okay Europe when we think about Europe we look at it in two buckets the UK and Western Europe and then Eastern Europe and Russia. There is going to be no growth in the UK and Western Europe. Any growth that we have, and this could be modest growth, will be out of Russia or Eastern Europe, places like Turkey. We’re looking at probably high single digits, maybe double digit growth in the Middle East. As I mentioned some of the projects that we’re working on and the amount of capital spend we’re anticipating because we’re in a small – we have a small market in Latin America the growth is going to be quite significant for us because of this. We have a long way to go to get up to mid-season form in Latin America. Canada, Canada we’ll see nice growth. The mining business as well as the infrastructure business remains strong and in the United State we will see modest growth. It’s a large market, but it’s not going to have, as Mike mentioned, the double digit growth which we had in 2007. The good news is I mentioned we won in the United States $4 billion worth of work. Over $3.5 billion was based – or maybe about $3 billion – $ 3.2 billion was organic. When I say organic, it was not from any of the acquisitions we made, okay, so – and so – it shows really nice growth potential for us here in the United States. Are we being cautious? Yes, we’re being cautious, there are some – there are really great opportunities but at the same time – we still question what’s going happen after November with Congress and some of the spending and that’s why I wanted to take time looking at the funding sources from the government – US Government perspective to give you and – give our investors an indication of where some of this funding is coming from, so when you listen to the news or you read in the paper what’s happening in Washington, you could put it in a proper perspective in terms of what that means for AECOM. Is that helpful?
Andrew Wittmann – Robert W. Baird: Yeah. Just maybe a little bit of color and that’s very helpful on the outlook – in the current quarter that was just reported and I’m just kind of curious as to what the organic US maybe growth rate is, that was for the quarter?
Mike Burke: Yeah. I mean – I don’t know if we want to go and break it down by country, but we did not – in FY11 we were flattish in the U.S., organically.
Andrew Wittmann – Robert W. Baird: All right. I will leave it there, thank you.
John Dionisio: Okay, thank you.
Operator: Your next question comes from the line of Sameer Rathod from Macquarie. Please proceed.
Sameer Rathod – Macquarie: Hi, just a quick question on new awards. If I compute new awards, it seems like they fell off pretty dramatically this quarter, can you comment on that?
Mike Burke: Yeah. We had $2 billion of wins in the quarter. What you’re looking at is you’re probably comparing sequential backlogs, I’m assuming. Although our backlog was up 6% year-over-year, sequentially it was down a bit. And that was driven by a couple things, first of all we had a $150 million foreign exchange currency conversion issue in our backlog at the year end. We reset our backlog at the end of every quarter based on existing FX rates, and so we had $150 million decrement. Now the good news is that has entirely reversed itself in the – in the current quarter. Second or next is that Q3 was a very large win quarter. We had 18% organic growth in our backlog year-over-year in Q3. So, and as we said at that time that was an unusually high number. So, when you get to Q4 obviously you start to normalize that a little bit. So, bottom-line year-over-year organically up 3% on the backlog $2 billion of wins. Put in that context, we feel pretty good about that number.
Sameer Rathod – Macquarie: Right. But $2 billion would still be less than running fourth quarter average that I compute at $2.5 billion. So, are you seeing orders just being weaker in the fourth quarter or is this just seasonality?
Mike Burke: No. We had $2 billion of revenue in the quarter and $2 billion of wins. You’ve got a book-to-burn of one, which is pretty good. Yeah, considering that you’re going to have some lumpiness and you had a much higher book-to-burn ratio in Q3. So, you start to get – you’ve got to normalize all the quarters because you will have lumpiness due to the large nature of our contracts.
John Dionisio: Our business when we look at wins and backlog, we do it on, as I mentioned earlier it’s helpful to look at it on a yearly basis. You will drive yourself crazy if you look at it from quarter-to-quarter, I mean things could just...
Sameer Rathod – Macquarie: Right, right. What’s the trailing four quarter average of new awards? I’m seeing $2.5 billion, is that not correct?
Mike Burke:
Mike Burke: I don’t know, do you have those numbers?
Sameer Rathod – Macquarie: I can follow-up offline. The second...
Mike Burke: Yeah, you are including, again, we talked about it, we got 18% growth in Q3 alone. So, if you are trying to average that big large number, I mean – if you have the numbers it is what it is. I’m just trying to explain that $2 billion win in Q4 was pretty good especially following the kind of wins we had in Q3 that was an 18% growth.
Sameer Rathod – Macquarie: Right. Okay, my next question is on the AVI, the AVI historically has been a good leading indicator for private non-res here in the U.S. How do you kind of reconcile what you are seeing with the weakness in the AVI? Thank you.
Stephen Kadenacy: So, listen AVI is a macro number, right. AVI, the last time it dropped below 50, the time before that it was above 50. So, by quarter-to-quarter, we spike up above the 50 confidence level and then drop below in the last quarter. However, that’s a macro number across the entire U.S. And when we look at our private sector, commercial construction business which is most correlated to AVI, you need to look at the markets in which we participate. And we don’t participate across all the markets, as you heard John mention in his comments earlier is that we are most predominate in that space in New York, Boston, Chicago, and Washington, DC. And if you look in those markets, those are some very strong markets for construction. The vacancy rates in both New York and Washington DC are at, not an all-time high, but pretty high which is driving some of the commercial construction. So, again the AVI numbers on a macro basis are a little bit misleading. We focus more on some of those other indicators relevant to the markets in which we participate.
Sameer Rathod – Macquarie: Okay. Thank you.
Mike Burke: Okay.
Operator: (Operator Instructions). Your next question comes from the line of Adam Thalhimer from BB&T Capital Market. Please proceed.
Adam Thalhimer – BB&T Capital Market: Good morning guys. Most of my questions have been answered. I just wonder what was the actual net DSO number in the quarter?
Stephen Kadenacy: The net DSO number was 88, Adam.
Adam Thalhimer – BB&T Capital Market: And remind me what is your goal? I think you’ve given an actual goal for net DSO’s?
Stephen Kadenacy: We think that to get down to pre-recessionary levels that 80 is a reasonable goal for us.
Adam Thalhimer – BB&T Capital Market: And how much does one, how much cash does one day generate?
Stephen Kadenacy: $25 million.
Adam Thalhimer – BB&T Capital Market: Great. Thanks very much.
Mike Burke: Thank you.
Operator: At this time, we are showing we have no further questions. I’d like to turn the call back over to management for closing remarks.
John Dionisio: I want to thank everyone for joining our call today and showing an interest in AECOM. If there are any questions you have please contact us, so we can provide you with some of the answers. So, if no one has any other questions, we’ll see you in three months. Have a good holidays, whichever holidays you celebrate and we will see you then. Thank you very much.
Operator: Thank you. Ladies and gentlemen, thank you very much for your participation in today’s conference call. You may now disconnect. Have a wonderful day.